Operator: Good day, and welcome to the LTC Properties Inc. Fourth Quarter 2015 Analyst Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Before management begins its presentation, please note that today's comments including the question-and-answer session may include forward-looking statements subject to risks and uncertainties that may cause actual results and events to differ materially. These risks and uncertainties are detailed in LTC Properties’ filings with the Securities and Exchange Commission from time-to-time including the Company's most recent 10-K Dated December 31, 2015. LTC undertakes no obligation to revise or update these forward-looking statements to reflect events or circumstances after the date of this presentation. Please also note this event is being recorded. I would now like to turn the conference over to Wendy Simpson, CEO, and President. Ms. Simpson, please go ahead.
Wendy Simpson: Thank you, Austin. Good morning and good afternoon to everyone and thank you for joining us today. The year 2015 was a significant year of growth for LTC. During the year, we underwrote a total of $414 million in transactions. Of that amount, $302 million represents accretive transactions at the time of closing the transactions and $112 million was in new development investments and underwritten commitments that will accretive upon completion. At year end, we had remaining investment commitments of $89 million, most of which will be sent in 2016 and will become revenue producing during 2016 or the first quarter of 2017. Our investment profile at year end is 51.2% in skilled nursing assets and 41.3% in assisted living and memory care. All of the $41.6 million expended and classified as under development at year end is related to assisted living and memory care. As a result, we remained fairly balanced in our portfolio of skilled nursing assets and assets more closely identified with private pay sector. We expanded our line of credit to $600 million, expanded our relationship with AIG with a $100 million senior unsecured debt shelf- financing agreement and established a $2 million ATM. Pam will discuss these activities more fully, but it is these actions plus successes in investments that made 2015 a growth year for LTC. And this growth allowed us to increase our monthly dividend from $0.17 a month to $0.18 per month beginning in October of 2015. During the fourth quarter, National Health Investors NHI converted the LTC preferred shares they owned and received 2 million shares of LTC common stock. By holding the preferred, they were foregoing approximately 1 million in annual dividend and I am pleased that NHI made this decision. I believe Eric Mendelson, NHI’s CEO commented on their recent call that they filled some of the shares and maintain over 1 million as of the date of his call. This issuance of shares was not dilutive to us because they have been in our fully diluted numbers for quite a while. But the conversion eliminates all preferred shares from our equity structure and since preferred shares are viewed as debt it decreases our debt and benefits our already conservative leveraging sets, plus it has 2 million shares to market capitalization and 2 million shares into circulation. Subsequent to year end, we closed our first 2016 investment and purchased a new skilled nursing property in Texas for $16 million. During 2015 and already in 2016, we have done due diligence on larger transactions that were in the $90 million to over $200 million range. But it’s not been able to meet – but they have not been able to meet all of our underwriting criteria or the assets might not fit our strategy of acquiring newer assets. While we are not stubbornly blind to a set of criteria, we just have not been able to get enough comfort that the acquisitions will be the right transactions at the right environments. I am pleased to welcome Doug Korey, Senior Vice President of Business Development and Mandi Hogan, Director of Marketing to our company. They both joined us recently and Clint will give you a summary of their backgrounds and how they will work with us in growing LTC in 2016 and beyond. After comments from Pam Kessler, our EVP and CFO, and Clint Malin, our EVP and CIO, I will have closing comments and give guidance for the full year 2016. At this time, I'll turn the call over to Pam.
Pam Kessler: Thank you, Wendy. FFO increased 21.9% for the fourth quarter of 2015 to $27.8 million, or $0.74 on a fully diluted per share basis from $22.8 million, or $0.64 per fully diluted share a year ago. Revenues for the quarter increased 21.6%, or $6.6 million year-over-year. The improvement primarily reflects acquisitions, completed development and capital improvement projects, new leases and lease amendments, as well as an increase in interest income from mortgage loans resulting from loan originations and the amendment to the Michigan loan, partially offset by a reduction in revenue from properties that sold at the end of 2014 and mortgage loan payouts. Fourth quarter interest expense was $5.6 million, an increase of $1.9 million over the comparable 2014 quarter due primarily to the sale of senior unsecured notes, greater utilization of our line of credit to fund investments and development, and lower capitalized interest. During the fourth quarter of 2015, we’ve recorded $2.3 million impairment charge related to a 48 unit assisted living community that we agreed to sell subsequent to year end. We anticipate selling the property in the first quarter of 2016 for $1.8 million. General and administrative expenses were $4 million, or $741,000 higher this quarter compared to a year ago, due to increased staffing and other costs associated with more investment activity. During the quarter, we recognized 276,000 in income from unconsolidated joint ventures and a $586,000 gain on sale of a 112 bed skilled nursing center located in Texas. Turning to the balance sheet. During the quarter, we purchased two skilled nursing centers with a total of 254 beds in Texas for $23 million adding them to a master lease with Senior Care at an initial incremental cash yield of eight and a quarter percent. We also purchased a development site for $2.8 million and entered into a commitment to construct a 66 unit memory care community in Glenview, Illinois. The full commitment totals $14.8 million including the land, and the property was added to an existing master lease with affiliate of Anthem at an incremental cash yield of 9% after certificate of occupancy. During the fourth quarter, we purchased 118 behavioral healthcare hospital in Las Vegas, Nevada for $9.3 million and subsequent to year end, we purchased a 126 bed skilled nursing center in Texas for $16 million. We added both of these investments to a master lease with an affiliate to Fundamental at an incremental cash yield of 8.5%. During we originated a $20 million, 30 year mortgage loan secured by two skilled nursing properties in Michigan. The loan bears interest at 9.41% for five years, escalating 2.25% annually thereafter. To-date, we have funded $15 million under this loan commitment. The remaining $5 million commitment is available over the next three years for capital improvements. We also originated a $2.9 million mezzanine loan, which is recorded as a joint venture to develop a senior housing community consisting of 99 independent assisted and memory care units. Additionally, we invested $12.8 million in properties under development and capital improvement projects during the fourth quarter. During the quarter, we repaid $45 million under our line of credit with proceeds from the sale of 100 million of senior unsecured notes to AIG. The notes bear interest at a 4.26%, have scheduled principal payments, a ten year average life and mature in 2028. As Wendy mentioned, we expanded our relationship with AIG earlier this year with a $100 million debt shelf agreement under which these notes were sold. During the quarter, we exercised a $200 million accordion feature of our line of credit bringing total commitments under our line to $600 million. Also subsequent to December 31, we borrowed $32 million and therefore currently we have borrowings of $152.5 million outstanding and $447.5 million available under our revolver. Also during the fourth quarter, as Wendy mentioned, NHI converted all their shares of our convertible Series E preferred stock into 2 million shares of our common stock. Therefore we no longer have any preferred stock outstanding. I will now turn the call over to Clint.
Clint Malin: Thank you, Pam. Good morning everyone and thank you for joining us today. We are pleased to have completed our second transaction with Fundamental in the past four months. The behavioral healthcare hospital investment in Las Vegas is a great opportunity to invest in an asset class that has gone into our attention in a risk-adjusted manner by adding the property to an existing master lease. The recent sale lease back with Fundamental in a newly constructed 126 bed skilled nursing center located in the Dallas Fort Worth Metropolitan area is another example of investing in new and modernized skilled nursing centers and growing our relationship with an experienced and highly capable management team. On our last earnings call, I indicated that, our active pipeline was $125 million. Since then we have completed $39 million of investments to acquire the three skilled nursing centers, Pam commented on the details of these transactions just a few minutes ago. Currently, we are working on approximately $100 million of off-market transactions consisting of acquisition and development opportunities of private pay assets all source through existing partner relationships. These transactions are in various stages of negotiations and I look forward to providing an update on these deals during our next earnings call. We continue to be selective in pursuing development opportunities which has been an important part of our investment strategy over the past five years. This strategy brought four new operating partners into our portfolio continues to reduce the average age of our portfolio and increases revenues derived from private pay sources. We have been methodical and disciplined in our approach by selectively working with mainly growth-oriented operating companies and adding projects into existing master leases to providing additional credit enhancements. Although concerns of over building, is being talked about in the industry and undoubtedly occurring in some markets, lease up at our private pay developed projects has been strong and ahead of projections. As of year end, we had an outstanding development commitment of approximately $90 million which Wendy mentioned, in addition to expansion and renovations of existing properties, this outstanding commitment will add six new private pay communities to our portfolio all added to existing master leases. As Wendy mentioned in her remarks, recently we added Doug Korey and Mandi Hogan to our team. Doug comes to LTC with over 20 years of experience in the seniors housing and care space and he is an NIC board member. Doug is a seasoned deal making veteran bringing in extensive client base with him. In this business development role, Doug will expand our capabilities to originate additional mezzanine and preferred equity investments and drive growth of sales lease back investments. Our goal is to methodically, strategically, and with a disciplined approach develop the relationships with an operator base that typically has not utilized re-financing by offering the product more familiar to them. As new relationships are cultivated, it helps sale lease back opportunities will eventually service helping to grow our portfolio of investments. Mandi has a diverse background in sales and marketing and most recently was a Director of Marketing for NHI. Over the past three years, at NHI, Mandi focused on building relationships with regionally based operating companies, mirroring our targeted customer base. Mandi will focus on elevating LTC’s profile in the industry through strategic marketing campaigns, strengthening relationships with industry associations and sourcing relationships with operating companies that we do not currently know. Mark Hemingway, who will be retiring at the end of the month will remain with the company on a part-time basis to assist Mandi. Mark’s ongoing involvement will allow LTC to continue drawing upon his years of experience and excellent reputation throughout the industry. The addition of Doug and Mandi to our team along with Brent Chappell, our Senior VP of Investment and Portfolio Management, continues to grow a team of highly talented and experienced professionals will help drive future growth at LTC. The combination of this skilled team and attractive cost of capital positions LTC to be opportunistic in growing our portfolio. Turning to our portfolio, for the same-store portfolio, the trailing 12 month period ended in the third quarter of 2015, EBITDAR lease coverage for skilled nursing is 2.27 times assisted living 1.65 times and range of care 1.75 times. EBITDAR coverage after an allocated management fee of 5% of revenues is 1.65 times for skilled nursing, 1.41 times for assisted living, and 1.28 for range of care. Compared with the previous quarter, occupancy remains consistent across all property types, occupancy for the trailing 12 months period ended in the third quarter of 2015 is as follows: skilled nursing, 79.5, assisted living, 85.8 and the same for range of care at 85.8. Our quality mix for the portfolio remains strong with 51.5% of underlying revenue derived from private pay sources. Coverage in our skilled nursing portfolio decreased 7 basis points from the previous quarter, 4 basis points of this change was attributable to annual rent increases under our leases and increased interest income resulting from the additional $40 million of loan proceeds, funded to Prestige Healthcare in June of 2015. EBITDAR coverage for the Prestige Healthcare portfolio consisting primarily of skilled nursing centers located in Michigan is very strong and approximately two times coverage for the trailing 12 month period ended in the third quarter of 2015. Coverage and occupancy metrics for our portfolio of 37 assisted living communities leased to Brookdale continues to be strong. For the trailing 12 month period ended in the third quarter, EBITDAR coverage after an allocated management fee revenues is 1.82 times with occupancy of 88.4%. Lastly, as I commented during our previous earnings call, in 2015 we began evaluating opportunities to recycle capital by selling assets no longer core to our portfolio. As Pam discussed, our first asset sale occurred at year end, another property is under contract. I anticipate the sale of a handful of additional properties during 2016. Now I will turn the call back to Wendy.
Wendy Simpson: Thank you, Clint. Pam would you comment again on our liquidity and our credit stats?
Pam Kessler: LTC is in an enviable position of having low leverage and ample liquidity to fund our current growth trajectory. We currently have $447.5 million of availability under our unsecured line of credit and $37.5 million of unsecured debt availability under our Prudential shelf. As Wendy mentioned, earlier this year, we put in place a $200 million after market offering program. We currently have the entire amount available under the ATM. At the end of the quarter, LTC's investment-grade credit metrics remained one of the best in the healthcare REIT universe with debt-to-annualized normalized EBITDA of 4.3 times, a normalized annualized fixed charge coverage ratio of 5.7 times, and a debt-to-enterprise value of 26%. Additionally, we have one of the most conservative debt maturity ladders in the entire REIT universe with long-term debt maturities carefully matched to our free cash flow, thereby virtually eliminating any refinancing risk. In utilizing debt to fund investments, we have prudently matched our long-lived assets with long-term debt with 10 to 15 year final maturities. We believe our conservative balance sheet management provides us with the best opportunistic approach to financing our company’s future growth and creating long-term shareholder value. I’ll now turn the call back over to Wendy for closing remarks.
Wendy Simpson: Thank you, Pam. While we do have a pipeline of $100 million, investment activity in general feels like it is maddeningly difficult to predict sale lease back opportunities at any point in time. Seller decisions happen for so many diverse reasons. I place a large value on our ability to have the liquidity and the experience and the team to react quickly and decisively as opportunities present themselves. Again, 2015 was a strong year for growth and for shareholder return and stability. Our goal is to continue growth in 2016 and I look forward to talking to you next quarter about our opportunities. At this time, I am giving guidance for 2016 FFO of $2.95 to $2.99. This guidance is as always same-store based on what we currently have as investments, I am assuming certain completion dates for development. It does not include new investments or underwritings, issuance of shares or terming out any portion of our current outstanding line of credit. Thank you for dialing in and I will now open the call to questions. Austin?
Operator: Thank you. [Operator Instructions] Our first question comes from Jordan Sadler with KeyBanc Capital Markets. Please go ahead.
Jordan Sadler: Thank you and good afternoon. I was hoping that you could spend a couple of seconds just giving us your takes on the skilled nursing outlook today as you see it and what you are thinking as you are underwriting new potential investments?
Wendy Simpson: We still have a lot of confidence in the skilled nursing sector. It has its challenges as it’s always had its challenges. There has never been a year that I can think of it skilled nursing is an easy business to do. We continue to focus on the regional operator, regional or local operator who we think has more ability to respond to its current marketplace than maybe a national operator does. We are still underwriting at 8.5% to 9% lease rate. We think that the newer assets that can be added into a master lease should be underwritten no less than the 8.25 lease rate. There is challenges for the managed care, but our operators seem to be managing well to the changes in their environment. We – Clint and I have a schedule where we are going to go out and talk to each one of our larger nursing home operators to just get a one-on-one feel of what they are looking for in 2016 and beyond. So, we don’t have any significant concerns for the business of the skilled nursing. I don’t know, do you want to say anything, Clint?
Clint Malin: I think a lot of the headwinds recently have been focused on some of the larger national operators and some of those operators focus on and have higher than average Medicare centers in their portfolio, so obviously they are more impacted as a result of that, but in general, with the change in reimbursements to more of risk-based value-add proposition, the providers have been preparing for this and I think it’s something it’s not new the industry is – as Wendy mentioned that it has – always had challenges here and there, but it serves a purpose and we still think there is opportunities in the skilled nursing space.
Jordan Sadler: Okay, that’s helpful. So you are – so I think your underwriting has stayed somewhat consistent and I guess, I keyed in on one are your comments at the outlook, Wendy, on looking at $90 million to $200 million type acquisitions, but none are fitting into the criteria. Can you elaborate there? Is there anything specifically that’s not fitting? Or is pricing just too aggressive or is it somewhere on the risk side that’s troubling?
Wendy Simpson: Sometimes, the pricing is aggressive. Even though the cash flow might cover, the pricing is aggressive in terms of – you are looking at it on a comparative last sale in the – what – a comparative sale in the same state most recently. The age of the assets, we look at a large transaction like that between $90 million and $200 million, where would that place the operator and our strata of operators would be a significant operator that we would probably want to be very conservative of adding a number one operator that we haven’t had before by investing a lot of money into a transaction. So, it’s very hard to walk away from those opportunities. But, I think our discipline has served us well in the past and while we have gritted our teeth, we are still sticking to our criteria.
Clint Malin: And we also looked at a transaction where - on the skilled side, where through due diligence, the penetration of managed care into the certain urban markets had really – the properties we are looking at had not yet been impacted by that penetration, but you can see in the market where it was stronger and there is the potential for downside in that. So, we felt that the initial pricing of the deal just didn’t worked based on the potential penetration of managed care and how that might impact that those assets on a long-term basis. So, it’s something we definitely take into consideration our diligence process.
Jordan Sadler: Okay, that’s helpful. And then, just the last one on the dispositions obviously, you’ve got one done here and you are teeing some incremental, I think, you said a handful for 2016. What’s the sort of the criteria and sort of the nature of the decision to fund some of these?
Clint Malin: It’s a combination. One, looking at asset age, looking at markets where they are located and also looking at the operator relationship itself since we don’t have the ability to grow that relationship and we have a one-off asset in a rural market that’s older, I mean, those are the type of opportunities that primarily have driven looking at recycling capital on assets in the portfolio.
Jordan Sadler: Could it be more AL or more skilled?
Clint Malin: Probably more skilled.
Jordan Sadler: Thank you.
Wendy Simpson: Thank you, Jordan.
Operator: Our next question comes from John Kim with BMO Capital Markets. Please go ahead.
John Kim : Thank you. So, on skilled nursing, the coverage declined in the third quarter. Do you have any views on how the fourth quarter is going to turn out?
Clint Malin: Right now, we obviously – we look at current information and on annualized basis as well and look at it on last quarter. But it’s hard to take smaller snapshots of the portfolio for less than a 12 month period. So, I mean, no blurring changes that we see, that’s always to ebb and flow a little bit, but nothing that stands out that’s causing significant changes where like some of the headwinds you are hearing about some of the large national providers.
John Kim : Okay, and can you remind us when you get clarity on this? I mean, we are already two-thirds into the quarter. Are you still waiting for some of your operators to report to you?
Clint Malin: We get the operator – we get those on a – we have one a quarter in arrear, so, we’ve got to get that information and we received survey servicing some reports. But it takes a while to go and incorporate that into our model to flow it through and analyze it. So we always report a quarter in arrears.
John Kim : Okay, on your mortgage loan book, it’s increased significantly over the past year. How large you want this to be a part of your overall investment. I think now it’s almost 16% of your total investments?
Clint Malin: Well, the primary driver on the mortgage side is our investments in Michigan. And those are skilled nursing assets and structurally how reimbursement works in Michigan, it’s challenging lease structures there. So we basically have done 30 year mortgages, which basically embody many elements of a lease and that’s really just more of a structuring item related to the State of Michigan.
Wendy Simpson: But in terms loan loans, like mezzanine loans or short-term bridge loans that we are looking at, I don’t expect that we are going to go much over $50 million.
John Kim : Okay. The provision that you had – the provision for doubtful account, can you just describe what the cash flow is of that loan, is the borrower no longer current on the interest payment?
Wendy Simpson: Sure, now that is just a required provision upon loan origination. So, GAAP requires that when you originate a loan, you take an estimate of the provision and we use a 1%. So every time we fund a loan or originate a loan, we take 1% of that balance and record the provision. And then, as the loan amortizes, it’s amortized as revenue into that line item. So, it’s just an accounting feature, there is no cash on it. There is no cash implication.
John Kim : But the loan loss reserve – is that in relation to what you think you will be repaid?
Wendy Simpson: Is it in - yes, it is an estimate based on the history of the company which is less than a 1% loss on our mortgage loans. So we use that 1% as an estimate.
John Kim : I see, I got it. Okay. And then, your guidance for the year, the basis suggests at the midpoint that there is no growth compared to the fourth quarter run rate and you do have some developments coming in line, but can you just remind us what the offset to the organic growth if you have is?
Wendy Simpson: We’ll go into the range.
John Kim : I think your midpoint is suggest no growth for the fourth quarter.
Wendy Simpson: I think it’s just our conservative guidance. I have taken the fourth quarter and annualized it. I just looked at the year. So, I am at a loss to explain what your calculation is.
John Kim : Maybe, can you just go through those assumptions one more time, please?
Wendy Simpson: The assumptions of our 2016 is all of our assets that we have today including the fourth quarter with any unusual things taken out of the fourth quarter and adding in the development activities as we assume the developments will be finished. And there is – we’ve taken the low point is assuming a certain amount of asset sales that would happen the first quarter, because we had to put them in some quarter. So it assumed all the asset sales that we have anticipated happen at the first quarter. So that would be taking out some revenue. It’s unlikely because we sit here at February 22 and we don’t have any of those sold yet other than the one we reported on.
John Kim : And you mentioned no acquisitions in your guidance, correct?
Wendy Simpson: Correct. No acquisitions.
Pam Kessler: And using the outside date for development completion and revenue recognition.
John Kim : Okay, thank you, John.
Operator: Our next question comes from Rich Anderson with Mizuho Securities. Please go ahead.
Rich Anderson: Thanks and good morning out there.
Wendy Simpson: Good morning.
Rich Anderson: So, did you give a dollar figure for the dispositions that you’ve got thinking about?
Wendy Simpson: No.
Rich Anderson: So, when you just told John that at the low point of your guidance assumes the asset sales in their – I mean, what’s the number?
Wendy Simpson: Yes, if you would take a penny, a quarter, I think that would be reasonable, a reduction of FFO by a penny a quarter.
Rich Anderson: From dispositions.
Wendy Simpson: Yes.
Rich Anderson: Okay. What are you going to say?
Wendy Simpson: Our total disposition is not a significant number and it’s been like we think we’ll net out of a capital gain.
Rich Anderson: Okay.
Wendy Simpson: But we are foregoing some revenue.
Rich Anderson: Okay. So, you mentioned some of the competitive pressures that haven’t been able, you haven’t been able to cross the finish-line some deals and specifically on skilled nursing, you had a floor lease yield fills 8.25%. Is it because people or the buying public is aggressive, so there a lot of money still chasing these assets or are you kind of adjusting down the profitability of the underlying businesses because of Medicare bundling and so on and how that impacts the lease yield? What are the driving forces that are making that 8.25% number tough to pencil? Is it on the buy side or on the operating side that are driving it down?
Wendy Simpson: I think, people are still over pricing their assets they haven’t come down to a reasonable – well, a reasonable price. A price that we would be willing to buy at this time. So, I think that’s the biggest point.
Rich Anderson: Is it interesting to you that that people are still willing to be aggressive despite some of the question marks surrounding the business rate at this juncture?
Wendy Simpson: Well, it doesn’t seem to be coming from our brethren REITs who seem to all have said that they are finding acquisitions typical to do. It seems to be coming from the sellers who maybe are a little late to getting to the party. So, it’s not that we are seeing an aggressive other buyer though I think a couple of these deals maybe getting done with other financing sources I doubt a REIT, but, there are other sources coming into the marketplace which might be private equity or something like that. Clint, I think you might have…
Clint Malin: Well, I agree, I think there is – listening to our earnings calls this quarter, I mean, it sounds like, as Wendy mentioned, REITs are being disciplined and there is some change in cost to capital which I think obviously is affecting the appetite at least from the REIT perspective. But the private equity is still out there. You have some money on the non-traded REIT side still to be deployed. There is a price discovery point that or pay is going on right now. I am trying to figure out where in the market pricing is on these transactions. So I think, sellers still have that expectation. It takes a little bit of time once the cost to capital changes happen and so it’s just a process through 2016 I think we end up working through. But there is still opportunities that we see and I think we believe, we’ve got a advantage on a cost of capital basis right now to find assets that are newer modernized and the companies we want to partner with in growing our portfolio. So there is going to bed opportunity.
Rich Anderson: So you think you are seeing sellers are – in some cases, asking too much still?
Clint Malin: Correct.
Rich Anderson: Okay, good. What is the average escalator in the portfolio today and how much of it is fixed and how much of it is CPI-based?
Wendy Simpson: 225, 250.
Clint Malin: And most of it would be fixed.
Wendy Simpson: It is fixed, yes.
Rich Anderson: Okay, and then last question to you Wendy, I guess, but a lot of times when you issue guidance, you have an optimistic undertone to the future assuming you complete some acquisitions and not that you come out and say it, but you get the sense that guidance is going to go up at least that’s – had been my read. This time not so much, but is that my imagination or do you feel like this range that you are giving today is – maybe not as subject to lift because of some of the difficulties you are finding deploying capital in this marketplace.
Wendy Simpson: Well, there are couple of things, Rich. Pam was just saying before we took the call about how the debt markets are a little bit different right now than they have been for quite a long time, even with the ten year as low as it is recent debt issuances that we would be compared to are fairly high in the 6% or 7% range. So, I am feeling that the debt markets are at some place that we would be comfortable using additional debt and you know my conservatism relative to the balance sheet, we have plenty of money on our line and we have access to some money from our shelf still and the ATM, but some stock prices have to be right for us to use the ATM. So, I am a little bit cautious about all of these financial inputs in the market – from the debt markets, from the equity markets and from our balance sheet. I don’t want to step out in front of the debt markets. So – and if we had a really, really good opportunity in front of us to do a deal, I think we still have access to reasonably priced equity and we might use that opportunity, but right now I just don’t see clarity in where we are going to go for this year. I hope we have things that happen and we can issue positive increases in our guidance, but I wouldn’t say that right now.
Rich Anderson: Good color. Thank you very much.
Wendy Simpson: Thank you, Rich.
Operator: Our next question comes from Michael Carroll with RBC Capital Markets. Please go ahead.
Michael Carroll : Thanks. Clint, you gave us some additional – or can you give us some additional details on the drop in the SNIF coverage? I believe you indicated the drop related to – I guess, two things, rent increases and the draw down on the Prestige loan. Can you breakout the impact of each one of those?
Clint Malin: Sure, I had indicated that the – of the seven basis point drop, four basis points which we will be able to just annual escalators in our leases that occurred and then the funding of the $40 million of the additional loan proceeds with Prestige Healthcare on our Michigan loan portfolio. So, of that seven basis point change, four of it related to interest income and the rent escalator. So, that’s the primary driver of the change in coverage.
Michael Carroll : Okay, and then can you give us what was the coverage of the Prestige loan before and after the additional draw down?
Clint Malin: I said it was two times on the trailing basis. The before coverage – okay, it was some – they’ve driven some changes operationally that’s accounted for that. So, it was – it’s similar because they had – they were ramping a lot of operational opportunities. And we do expect that going forward, that period only had a three month inclusion of increased income. So, as we go forward into the following quarters, you will see more impact on the rent side, but our anticipation is that they are going to drive operational efficiencies and increase revenues to offset that. So we may see a little bit of moderation on that two-times coverage. But we still expect it to be a very healthy coverage. I mean, any time you are above 1.5 times in skilled nursing I think it’s a very, very strong coverage.
Michael Carroll : Okay, and then can you kind of give us an outlook of what you are thinking about on the senior housing development side? Is it more difficult to find new projects, given the pick up in construction activity, are you guys kind of taking a step back on that or are you still excited by it?
Clint Malin: I mean, we are very cognizant of what’s happening in the market. There was definitely a talk about overbuilding in certain markets. One thing we definitely can see is that, prices are increasing for our labor and materials and there have been some projects that we’ve not been able to pencil because of increased costs. But at this point, we are working with partners in our portfolio being able to add new projects internationally, access credit enhancements and I think the partners that we are working with they are disciplined. They are not trying to get ahead of themselves and grow too much. They are trying to grow a platform and they have to live with these investments long-term, because it’s not like we are partnering with them and we are looking to be opportunistic and sell the asset in four, five years. We are going to own these properties for a long-term and our partners are going to lease them for at least 15 years. So, we are being very disciplined and methodical about how we added development projects. At this point, we are probably not looking at bringing in a lot of new operating partners on the development side, there is always a possibility of something unique coming along, but we are really trying to grow out our existing relationships and we think that really helps to add a credit enhancement to these development projects by adding more into the same master leases.
Michael Carroll : Okay, great. Thank you.
Clint Malin: Thank you.
Operator: Our next question comes from Paul Morgan with Canaccord. Please go ahead.
Paul Morgan : Hi, good morning. In terms of the pipeline you are working on right now, and you mentioned that, it seems like it was off-market assets with existing partners or opportunities for development as well, I mean, do you think that translate into a kind of a higher conversion rate for those deals than what you saw maybe over the last quarter in terms of the – kind of the larger portfolios that didn’t pan out?
Clint Malin: Definitely increases the conversion rate and these are – there are smaller transactions one to two properties. So, although it’s not guaranteed but I think there is a fair likelihood that we will execute on a good portion of these.
Paul Morgan : Okay, great. And then, you’ve talked about how – it’s maybe difficult to kind of pencil out deals right now in the market, but what are your operator kind of partners thinking about growth right now? I mean, do they still have the appetite and it’s just a matter of finding or they maybe more conservative now in the – kind of in the context of some of the industry challenges?
Clint Malin: I think, definitely have the appetite it’s just finding the right opportunities. A great example of that is with the two skilled nursing facilities we bought with senior care centers. They’ve found an opportunity where there was a truly a mom and pop operator and where that’s – where we were able to source this transaction and this mom and pop didn’t want to continue having to deal with increased reimbursements or dealing with basically managed care and how to interpret that. So, great way to grow the senior care through that and when companies can go ahead and add in properties to their existing footprint, I mean, that’s a more secure environment helps them offset some overhead on that as well.
Paul Morgan : Great. And then, just as lastly, maybe you could kind of talk a little bit of background about bringing Doug Korey on and targeting more mez lending as part of your investments. I mean, was that sort of an opportunistic move or is it something you’ve kind of looked at over the past year or two – we would like to do more here have a even a bigger platform in terms of the mez part of what we do?
Clint Malin: Sure, it’s something we’ve looked at for a couple of years now, and we have talked to Doug about doing this with other companies he has been employed with. So we’ve got a familiar eye with him over the past couple of years and look to some opportunities together. We just think it makes a lot of sense on a major basis to go ahead and incorporate this as a product offering in the portfolio, because really it goes to being able to work with operating companies and offer solutions, different types of capital and there is definitely a percentage of the operator population that typically not used REIT financing because they like the idea of owning their assets. But, as those companies grow the organizations, sale lease backs could be a viable component of the capital structure. It doesn’t mean we have to own all the assets, it really just provides different options with these operating companies. If we can get into those organizations sooner and develop relationships, we are hopeful that we can cultivate those relationships and turn them into offering some sale lease back financing over time.
Paul Morgan : And, Wendy, did you hear you right, you thought that maybe this could be sort of a $50 million annual kind of business for you?
Wendy Simpson: Yes, that’s our internal projections of what we think and one of the good things or interesting things about Doug working with us is that, and hopefully the very, very few times a deal doesn’t work out. We would be the lender who would be able to bring in the new operator or it’s – we are not like a bank who would maybe flounder around a little if there was some sort of problem with the property. So, his ability to underwrite and his connections in the industry that we don’t have the part of the industry that we don’t have connections with right now, along with our portfolio of operators who could assist us if anything happened, it just made a lot of sense to bring Doug onboard and we just had an unique opportunity that he was available.
Paul Morgan : Okay, great. Thanks.
Wendy Simpson: Thank you.
Operator: Our next question comes from Karin Ford with Mitsubishi UFJ. Please go ahead.
Karin Ford: Hi, good morning out there. Just wanted to follow up on, Wendy, your answer to Rich’s question, just give your thoughts on leverage, you mentioned as you said the conversion of the preferred brings your leverage down, but you are concerned about volatility on the capital market side. Can you just give us an update on your thoughts as to where you think the right level of leverage is for the company in 2016?
Wendy Simpson: I continue to think that 30% debt to enterprise value is the high. If we did a transaction and went over that, you could anticipate that there would be an equity transaction pretty soon after that. We continue to be able to borrow on a basis where we can fit our maturities into our cash flow and that’s very important for us to not look ahead and see a wall of debt coming due. So, I still think 30% is an area that’s most comfortable for our company.
Karin Ford: And you mentioned your reluctance to go into the debt market, do you have additional availability under any of your current debt shelves with AIG or Pru?
Pam Kessler: Yes, Karin, this is Pam. We have $37.5 million available with Pru.
Karin Ford: Okay, great. And then just on the SNIF portfolio in the coverage, is there a lot of variation around the 1.65 EBITDAR coverage, do you have anything say below 1.4 times on that basis?
Clint Malin: We haven’t break – we have not decided to breakout coverage by operator and we’ve given – there is a range we have – Prestige which is up around 2 times, I mean there are some buildings that are below 1.5 times. So it really is a – there is some diversity, but we haven’t provided that detail other than a couple of portfolios where, like Brookdale is an example where there has been questions in the market regarding what’s happening and the specific to – we’ve provided Prestige just to provide some color on what happened from quarter-over-quarter. So w are trying to keep very general by providing it for the portfolio as a whole.
Wendy Simpson: But, of our major operators and if them are of concern.
Clint Malin: Correct.
Wendy Simpson: So, there has been no precipitous drop in any major operator.
Clint Malin: Correct.
Karin Ford: That’s helpful. My last question is just on the Slinger lease up. I think you mentioned last quarter that you were expecting a move to United Healthcare on November 1 to boost leasing velocity there. I saw it picked up quarter-over-quarter. Can you just talk about your outlook whether it’s going to hit the stabilized 85% occupancy level before the two year anniversary?
Clint Malin: We talked to Fundamental about that recently and they do with that contract in place. So, they is our indices movement under that and they have a big relationship in other markets with United. So, as of right now, we believe that that will be achieved within the 24 months. Our stabilization will be achieved within the 24 month period.
Karin Ford: Okay, and then Corpus Christi, the rent inception just got delayed a quarter, is that anything we should read into that at all?
Clint Malin: No, nothing to read into.
Karin Ford: Okay.
Wendy Simpson: Thank you, Karin.
Operator: Our next question comes from Chad Vanacore with Stifel. Please go ahead.
Chad Vanacore: Hey, good afternoon.
Wendy Simpson: Hi.
Chad Vanacore: So, I am thinking about the size of your pipeline, you said about $100 million, that seems to be down a bit from the $125 million we were talking about last quarter. And are you seeing a slowdown as a result of price dislocation that you alluded to or cost of capital or something else?
Clint Malin: We are seeing a little bit of a slowdown in volume of deals that we are seeing. So, and that’s both on skilled nursing and on the seniors housing side. I don’t know if that – it’s not uncommon that in the first quarter you’ll see activity not as strong as in other quarters. So it could be possibly that, but just in general with sort of price discovery going on right now, we’ve seen some assets and portfolios that have come back on the market. So there obviously has been a question in the marketplace about pricing of those deals. So, that could be leading to it as well. So, I think and we’ll probably have a better feel next quarter thinking if it’s truly it’s the first quarter impact or for seeing really just a slowdown just general because of cost to capital and price discovery continuing.
Chad Vanacore: All right, so, Clint, that’s easy, my next question which is, then, you increased your capital availability, you exercised the accordion feature, why now – why is the time now to do that?
Wendy Simpson: Well we – at a point, it looks like we had more opportunity and that’s $90 million or $200 million. And so, we needed the ability to make those investments and we don’t want to send out a letter of intent with a financing contingency. So, at the point that we fold on the accordion, it look like, we would be doing some large transaction. So, it does hurt to pay those fees to get the additional liquidity, but we would have needed it, had we completed successfully the underwriting. So, it was a chicken in an egg.
Chad Vanacore: All right, thanks, Wendy. So, given your comments on the debt market, would you be willing to let the revolver balance run longer than usual before terming it out?
Wendy Simpson: Right now, yes. I mean, there seems to be significant dislocation between...
Pam Kessler: On the volume – that line is low right now.
Wendy Simpson: Yes, well, the rate on the line is low and we don’t have a lot of acquisitions coming up on our horizon that we currently see. I think we’ve also seen some acquisitions where just preliminary information was the assets were much older and we are not looking to add older – a portfolio of older assets. If there were older assets in a portfolio that had a balanced asset life, we wouldn’t forego that, but if the portfolio predominantly has older assets, it’s more difficult for us to go forward on a transaction.
Chad Vanacore: All right, so then, just thinking about best capital opportunities in 2016, how would you rank acquisitions, loans, development and other?
Wendy Simpson: I would say, our best opportunities are with loans, and then acquisitions. I think, Doug is just getting his group together. He has got an analyst working with him. He has understood – now understands LTC and what our strategy is and he has amazing group of people that he's done business with in the past. So, I look forward to Doug bringing on some good short-term revenue and we are totally open for acquisitions. And I think, our development is going to be a little lower than it has been in the last couple of years that we are going to continue doing it with the operators that we’ve already underwritten. But that’s how I feel it the first opportunities we have. Now next quarter it might be different than that.
Chad Vanacore: All right, well, thanks for all the color. I appreciate it.
Wendy Simpson: Thank you, Chad.
Operator: [Operator Instructions] Our next question comes from Todd Stender with Wells Fargo. Please go ahead.
Todd Stender : This is for you Clint. I know, you don’t provide coverages by operator. Just seeing, if you consider opening that up some, we certainly have the fixed charge coverage for Genesis at the parent company level. But we get it from Well Tower and HCT. I imagine they are in good shape in your portfolio. So it might shine through to investors better. Just want to get your updated thoughts there.
Clint Malin: So, we can talk about internally, okay?
Wendy Simpson: Yes, we can continue to talk about it.
Pam Kessler: Allocation of resources.
Wendy Simpson: We gave…
Clint Malin: We gave for Brookdale, we gave…
Wendy Simpson: We gave for Brookdale, we gave Prestige.
Clint Malin: Prestige Healthcare.
Wendy Simpson: So…
Pam Kessler: But I think, Todd is asking for something more formal like a scatter plot. So, like some of our peers do, is that what you are asking, Todd?
Todd Stender : Yes, exactly.
Pam Kessler: You need that, yes. And it’s, and you do a cost benefit analysis and as we said, the highest coverage amongst our peers, how much more benefit does we have mapped and NHI, yes, absent NHI, because
Wendy Simpson: Given there too.
Pam Kessler: Yes, we’ll shout out there, yes, our buddies at NHI. But you do a cost benefit analysis internally and is it really providing that much more benefit versus the cost for a smaller cap REIT in internal resources to generate something like that quarter-over-quarter. But we will continue to – we take your comment to heart and we will continue to evaluate that.
Todd Stender : Okay, thank you. And just looking at the recent investments, the behavioral healthcare hospital, as you made – that investment you made in the quarter, can we – I don’t know if I missed it, did you give the coverages EBITDAR coverage on that, and then if you can give little more color on the additional financial commitment you have with that?
Clint Malin: But we are doing a – we are doing a renovation project at that – at the hospital with Fundamental. So, the coverage on that should be – we’ve underwritten it to be north of two times coverage on that project.
Wendy Simpson: But it’s not fully – well, it’s operational now, but it’s not – they haven’t put in all the programs that they will put in by the time they get all of their capital deployed. So, it’s going to be a while before we consider operating at its normal operations. But it’s open and it’s generating revenue under Fundamental’s master lease.
Todd Stender : And they are paying rent on that?
Clint Malin: Absolutely.
Wendy Simpson: Yes, indeed.
Todd Stender : Okay, thank you and then at the SNIF, anymore color you can give on the SNIF you’ve acquired already in Q1, because it’s the same master lease?
Clint Malin: Yes, it’s the same master lease. The property started operations in mid-2015. So, leasing up strong and this is our third this is the third project that we’ve been involved with Fundamental, this one on the acquisition that’s been a brand new property. So they have done a great job in looking to opportunities, designing, developing and leasing up properties. I mean, they have a lot of experience in that. So - and they have a presence in the, I mean, obviously in Texas as well as in the Dallas Fort Worth market, they’ve got strong relationships. So, we are excited about that opportunity with them and it’s exciting to have newer modernized assets continuing to include those into the portfolio.
Todd Stender : And what’s the lease up period on a property like that and what market is it in?
Clint Malin: It’s in the Dallas Fort Worth market. And we typically underwrite these up to 24 months on stabilization. Obviously, we are anticipating it to lease up a lot sooner than that, but that’s what we provide for as underwriting.
Todd Stender : Thanks, Clint and Pam, if I could just finish with you, based on Wendy’s comments, it sounds like maybe the spreads are widening in the debt markets. Can we hear your current thoughts on the debt market and then I know your preferred is now gone, but is the preferred market open to you guys, is that an increasing probability this year?
Pam Kessler: No, the preferred market, I think, the rates are just too high in the preferred market and you know, we’ve always been very opportunistic in terming out our line with debt and we’ll continue to be and we are watching the markets right now, like I said, we have $37.5 million available with Pru and should spreads compress in as the tenure remains low, then it’s a possibility of just right now what’s happened in the past couple weeks with spreads and the general volatility in the debt markets, it’s not an opportunistic time to term out debt.
Todd Stender : Okay, thanks, Pam.
Pam Kessler: You are welcome.
Operator: This concludes our question and answer session. I would like to turn the conference back over to Wendy Simpson for any closing remarks.
Wendy Simpson: Thank you, Austin and thank you all for dialing in and participating. And if we don't see you before our first quarter call, I look forward to talking to you then. Have a great day. Bye.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.